Operator: Good day, everyone and welcome to the American Woodmark Corporation Third Fiscal Quarter 2022 Conference Call. Today's call is being recorded, February 24, 2022. During this call, the company may discuss certain non-GAAP financial measures included in our earnings release, such as adjusted net income, adjusted EBITDA, adjusted EBITDA margin, free cash flow, net leverage and adjusted EPS per diluted share. The earnings release, which can be found on our website americanwoodmark.com, includes definitions of each of these non-GAAP financial measures. The company's rationale for their usage and a reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measures. We also use our website to publish other information that may be important to investors, such as investor presentations. We will begin the call by reading the company's Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include but are not limited to those described in the company's filings with the Securities and Exchange Commission and the annual report to shareholders. The company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. I'd now like to turn the conference call over to Paul Joachimczyk, Vice President and CFO. Please go ahead sir. 
Paul Joachimczyk: Good morning, ladies and gentlemen, and welcome to American Woodmark's third fiscal quarter conference call. Thank you all for taking the time to participate today. Joining me is Scott Culbreth, President and CEO. Scott will begin with a review of the quarter and I'll add additional details regarding our financial performance. After our comments we'll be happy to answer your questions. Scott? 
Scott Culbreth: Thank you, Paul and thanks to everyone for joining us today for our third fiscal quarter earnings call. As shared during the past few quarters, our teams continue to navigate a challenging labor, logistics and supply chain environment. Despite these challenges, our third quarter sales were up 6.4%. Labor absenteeism negatively impacted our quarter as Omicron variant cases grew in late December and early January. Material shortages led to unplanned downtime and efficiency loss due to substitutions that were made to continue production primarily related to plywood, beech, and source door and door face components. International shipping container challenges also persisted with higher rates and longer delivery times due to port congestion and driver shortages, and finally weather events in January across the Southeast and Midwest impacted our platforms. Despite all those challenges, our backlog decreased slightly versus the prior quarter, but is still at record highs. Going forward production levels continue to increase and drive incremental sales. Our teams will continue to invest in production capability and capacity the outsourcing staffing additions and productivity improvements. Within new construction our business grew 10.3% versus prior year. Strong order growth is expected to continue across our markets. Capacity of the manufacturing trade base to keep up with demand and rising prices could slow future build rates and these factors continue to increase the bill cycle time. Looking at our remodel business, which includes our home center and independent dealer/distributor businesses revenue grew 4.1% versus prior year. Within this, our home center business was up 3.8%. Our stock kitchen business performed well as PRO and DIY demand drove positive comps. With regards to our dealer/distributor business we were up 5.5% for the quarter, as remodel demand began to rebound post holidays. Our adjusted EBITDA was $30.6 million with EBITDA margins of 6.6% for the quarter. Reported EPS of negative $2.97 and adjusted EPS of $0.60. Paul will provide additional details, but no reported EPS was impacted by a onetime pre-tax pension settlement charge of $69.5 million. This result fell short of our expectations for the quarter due to our inability to increase production as quickly as planned, due to the previously noted issues with Omicron related labor absenteeism and supplier shortages. Currently our traction and retention efforts, are having a positive impact and our production rates are increasing across all of our platforms as staffing levels improve. The new assembly cell started in February in our Gas City plant and expansion efforts to increase output in our flat stock facility continues. For the market, we expect both new construction and remodel to grow through the remainder of our fiscal year. We will continue to take advantage of this growth and are targeting reductions in our backlog and lead times as production increases. After realizing approximately a $30 million plus of pricing impact in the third quarter of fiscal 2022, we've announced or finalized additional actions that will benefit our business beginning in April. At our current sales level, we expect the impact of our confirmed quarterly pricing actions to increase by additional $25 million versus the third fiscal quarter to over $55 million in the fourth fiscal quarter. Additional efforts will continue within our operations team to improve productivity and increased production levels. We expect significant margin improvement to be realized sequentially in the fourth fiscal quarter. You may ask why we expect significant expansion in the fourth quarter versus the previous period. Two key drivers; staffing levels and pricing. With Omicron cases declining rapidly, our absenteeism levels improved and our focused efforts and retention have assisted in tracking and retaining more team members. As we have communicated in the past three quarters, pricing to recover inflation has a considerable lag. Our expectation has always been for a better price inflation match in the fourth fiscal quarter. As a reminder, we shared pricing in Q1 was approximately $3 million; in Q2 it was approximately $14 million; and in Q3 was approximately $30 million. That grows to over $55 million in the fourth quarter and only partially includes additional pricing actions our teams are executing. That doesn't mean supplier issues are behind us but the number of variables to compensate for declining and drives our optimism. We remain committed to our strategy and mitigation efforts to offset the impact COVID has had on our business. We continue to invest in our digital online capabilities and product, while we focus our resources that enables of customer experience, platform design, talent and ESG efforts. These efforts will contribute to incremental revenue growth and improved adjusted EBITDA margins. I'm happy to share that we're now live on for Oracle finance and procurement and our digital tools continue to grow allowing for increased engagement with homeowners and professionals across the purchase journey. In closing, the last few quarters have been very challenging for our teams, as they continue to navigate supply chain disruptions, labor shortages and logistical challenges. We remain positive about the future and are excited about the margin expansion we will realize this quarter. I'm proud of what the team has accomplished and the challenges that we have overcome. I will now turn the call back over to Paul for additional details on the financial results for the quarter. 
Paul Joachimczyk: Thank you, Scott. Financial headlines for the quarter. Net sales were $459.7 million, inclusive of approximately $30 million of price, representing an increase of 6.4% over the same period last year. New construction net sales increased 10.3% for the third fiscal quarter compared with the same period in the prior year. Timberlake direct business comped positively for the quarter and year-to-date fiscal 2022. Our Origins product line continues to grow primarily related to the ongoing mix shift occurring towards lower-priced products in the market and its simplified product offering. Delays from the builders and their ability to receive our cabinets increased within the quarter and as a result we built finished goods backlog higher than historical trends, which is impacting our overall inventory levels. Our frameless business continues to grow and has built a strong backlog of orders during the past three quarters, primarily resulting from logistical and supply constraints on the West Coast. New construction sales were above market completions during the third quarter of fiscal 2022 and we are experiencing a 90-day to 120-day plus lag between start and cabinet installation. The overall market starts in single-family homes were down 2.5% for our fiscal third quarter. And looking at completions during our third fiscal quarter, we saw a 0.3% decrease year-over-year. The combined home center and independent dealer/distributor channel net sales increased 4.1% for the quarter with both channels increasing, specifically, home centers by 3.8% and independent dealer and distributor by 5.5% for the quarter. Within both the new construction and the repair and remodel markets, we continue to see consumers focusing on larger investments within their homes whether it is kitchens or baths. We expect this trend to be extended as the time to complete projects have been impacted due to global supply chain and labor challenges in the building product space. This has resulted in our backlog reaching historic levels. Net loss for the quarter was $49.3 million or a negative $2.97 per diluted share in the third quarter of fiscal year 2022 versus $18.4 million or $1.08 per diluted share last year. Net income for the third quarter of fiscal 2020 decreased $67.7 million primarily due to a onetime pre-tax charge related to our pension termination of $69.5 million and the challenges we encountered with our labor force, supply chain and two days of weather impacts across our locations. Adjusted EBITDA for the third fiscal quarter 2022 was $30.6 million or 6.6% of net sales compared to $55.7 million or 12.9% of net sales for the same quarter of the prior fiscal year. The company's gross profit margin for the third quarter of fiscal 2022 was 11.3% of net sales versus 17.9% recorded in the same quarter of last year. Gross margin in the third quarter of the current fiscal year was negatively impacted by the labor and supply chain challenges combined with inclement weather conditions that impacted our production capabilities. Total operating expenses were 10.1% of net sales in the third quarter of fiscal 2022 compared with 10.9% of net sales for the same period in fiscal 2021. Selling and marketing expenses were 5.1% of net sales in the third quarter of fiscal 2022 and fiscal 2021. General and administrative expenses were 5.1% of net sales in the third quarter of fiscal 2022 compared with 6.1% of net sales for the same period of fiscal 2021. The decrease in the ratio was primarily driven by lower employee incentive costs and controlled spending in the third quarter of fiscal 2022. Free cash flow was negative, totaling $48.8 million for the current fiscal year compared to a positive free cash flow of $74.3 million in the prior year. The decrease was primarily due to changes in our operating cash flows, specifically, lower net income, higher inventory balances and lower accrued expenses. Our inventory balances have grown in our raw materials in an effort to build additional safety stock of key critical components and finished goods due to the customer limitations on ability to receive product. Net leverage was 3.61 times adjusted EBITDA at the end of our third fiscal quarter. For the fiscal year, the company paid down $15.3 million of net debt and we repurchased $25 million or 300,000 shares. The company's cash position and availability on our revolver as of January 31, 2022 was $227.9 million. In fiscal 2022, our first nine months of performance has impacted by our expectations of free cash flows for the fiscal year. We stay committed to our investment back into the business by maintaining our current rate of capital investment for the remainder of the fiscal year. We expect the full fiscal year 2022 sales to be mid single-digit growth over the prior fiscal year. The growth rate is highly dependent upon overall industry, economic growth trends, material, logistics and labor constraints as well as consumer behaviors that can be impacted by the ever-changing COVID-19 and macroeconomic environment. Our fourth quarter fiscal -- our fourth fiscal quarter EBITDA margins will return to similar levels of the prior year and will improve significantly over our fiscal third quarter. Our pricing actions will represent approximately $55 million plus of total pricing completed at our current projected volumes in our fiscal fourth quarter. Incurred inflationary costs are mostly offset with these price increases across all of our sales channels which were previously executed. As a reminder, the lag on pricing realization on average takes three months to six months to fully offset the inflationary cost impact pressures. The trend of higher inflation could pose future risks to this outlook as the macroeconomic factors remain unstable. I am confident that the work that the team has done in the prior quarters around pricing investing in more production capabilities and strengthening our workforce have set American Woodmark up for a significant EBITDA margin improvement in our fourth fiscal quarter. A tremendous thanks to all of our team members that continue to deliver extra efforts to make it happen in this challenging environment. This concludes our prepared remarks. We'll be happy to answer any questions you have at this time.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session.  And our first question comes from Adam Baumgarten from Zelman. Please go ahead with your question.
Adam Baumgarten: Hi. Good morning. Thanks for taking my question. I guess, maybe just first on the updated guidance for sales growth it implies a worsening year-over-year volume decline versus 3Q. Maybe walk us through that given that it sounds to get some volumes pushed out because of weather and absenteeism. I guess why wouldn't the volume outlook be better as we look at 4Q. 
Scott Culbreth: So for the fourth quarter specifically as we look forward, we do expect an improvement in production levels as I messaged earlier. I think you're trying to ask questions around units versus prior year as opposed to the overall price equation. We do expect to see positive growth inside Q4. I saw your report earlier today. I think you had an expectation of high single-digit growth, which is what we had communicated a quarter ago. We lost some of that revenue in the third quarter. We didn't quite hit our expectations in the third quarter. And at this point in time, we've not modeled making all of that up inside the fourth quarter. So I think that's the primary difference in our projection versus your estimate. 
Adam Baumgarten: Okay. Got it. And then just on the pricing side given that the incremental pricing you're putting through doesn't hit until April. Should we expect as we go into fiscal 2023, a quarterly run rate that's decently above the 4Q level given that you can get the full quarter of that additional pricing? 
Scott Culbreth: Yes, that's a correct assumption. Our first quarter 2023 would include incremental price capture on top of that $55 million. 
Adam Baumgarten: Okay. And then just lastly for me. Any sense for the impact from a volume perspective in the third quarter from the absenteeism spike? 
Scott Culbreth: Yes. As we look at that and model what our projections were for the quarter, I'd say we probably gave up about 300 basis points of growth for the two factors not only the absenteeism, but some of the supply chain challenges. 
Adam Baumgarten: Got it. Thanks a lot guys.
Operator: Our next question comes from Julio Romero from Sidoti & Company. Please go ahead with your question.
Julio Romero: Yes. Good morning. Can you guys talk a little more about the new product line? Maybe the time line for coming online, which product lines it's focused on? And how much help that it will give to alleviate backlog? 
Scott Culbreth: Yes. You broke up here a little bit. I think your question was specifically around some of the new production capacity that we referenced. So the two items that... 
Julio Romero: Ore. Yes just looking for -- go ahead. 
Scott Culbreth: Yes. So specifically, the assembly cell in our Gas City plant that's to service our made-to-order business. So that will give us a nice enhancement and boost across that platform. Our flat stock operation that I'm specifically messaging is in our Toccoa location in Georgia and that services predominantly our made-to-order business as well. So it's principally going to fuel growth inside that platform. 
Julio Romero: Got it. And as my follow-up how are you doing with labor absent Omicron issue? I know you've raised wages. You have some other initiatives underway and it sounds like you're more positive on staffing levels going forward. So if you could just speak to that. 
Scott Culbreth: Yes. I'll just get back to my earlier prepared remarks. We've certainly seen an improvement in our staffing levels. It's two-fold. Absenteeism is down as we've gotten past the impacts related to Omicron, but our traction and retention efforts have also improved and allowed us to bring more folks in and retain those folks. We were seeing quite a bit of turnover inside that first 90 days. That rate of turnover has improved. You referenced some of the things specifically we've done there. Obviously its compensation, it's reward and recognition. It's our onboarding practices as well. We've gone back and done quite a bit of work in revamping our onboarding process and a simulation efforts. So all of those have contributed to a more favorable labor environment. 
Julio Romero: Very good. I’ll pass it on. Thank you.
Operator:  Our next question comes from Steven Ramsey from Thompson Research Group. Please go ahead with your question.
Steven Ramsey: Hi. Good morning. I wanted to think about backlog increasing a bit. Can you share how much of backlog growth is units versus pricing? And is backlog increasing due purely to the new construction channels demand or some of that R&R driven. 
Scott Culbreth: Yes. So just to clarify Steven our backlog actually decreased slightly ever so slightly inside the quarter. So we didn't see growth overall. When we refer to the backlog growth in the business, we're thinking about it from a units perspective. Some of that backlog gets repriced with some of the work that we've taken and some does not. So you get that delayed effect on the utilization. 
Steven Ramsey: Okay. Great. Thanks for clarifying. And then does that imply -- I'm sure this will come out in the Q soon, but total inventory increasing sequentially every quarter since Q4 '20 and then finished goods. Is that going to stay above the $40 million level in the coming quarters, or do you have a line of sight to that kind of coming down to a more normalized range in the calendar year maybe? 
Paul Joachimczyk: Yes, Steven. So you'll see in the Q our inventory levels are higher in primarily two categories. One is in raw materials and one is in finished goods. The raw material increase is really driven by a couple of factors. One is we want to really bolster up our supply chain for key credible components. But also historically in our fiscal Q3 we always stock up related to the Chinese New Year so imports that are coming in. We did enhance those efforts given the delays in logistics that we've experienced so far to-date with all the COVID experiences. And then you'll also see the finished goods inventory level has increased as well too. That is due to the backlog and some of the abilities of our customers to obtain that. We are launching efforts around those finished goods particularly to bring those levels down to kind of normal pre-COVID levels. Just to further add to that. Typically Q3 is our high watermark in the fiscal year around inventory. You'll see that typically enroll in finished goods. So no surprise that that's going to be the high watermark. But yes our expectation is for that declining inside Q4. 
Steven Ramsey: Okay. Great. And then last quick one for me. On the 300 basis point impact of labor and supply chain in Q3 appears that the labor component of that is mostly subsided now. Is the supply chain impact -- can you maybe break that out into what it was in Q3? And will it be similar in Q4? 
Scott Culbreth: With what we know today we've certainly seen improvement on the labor side of things. The supply side, I made some specific remarks around plywood beech and some sourced components specifically the face components of the cabinetry improving not completely out of the woods yet. So we do expect to still see some minor disruption there, but really feel good about the labor situation that we got going into the quarter. 
Steven Ramsey: Excellent. Thank you.
Operator:  Our next question comes from Josh Chan from Baird. Please go ahead with your question.
Josh Chan: Hi. Good morning, Scott and Paul. Thanks for taking my question.
Scott Culbreth: Hi. Good morning. 
Josh Chan: Good morning. I guess from a price versus cost perspective if you are expecting to get to margin levels similar to the prior year this coming quarter. Does it mean that on a dollar basis your price is getting to a point where it's offsetting inflation successfully or maybe even a little bit above? 
Scott Culbreth: Yes. What I would say is the pace of inflation that we've seen in the business is declining while the pace of price realization is increasing. And our expectation as we get towards the end of Q4 and certainly in the first part of the new fiscal year that we're in a balanced position. 
Josh Chan: Okay. Thank you. That's encouraging. And then I guess my other question is it's on your builder business. I guess, if the builders continue to have trouble receiving products in a timely manner how are you going to react to that? Will you have to kind of adjust your own production levels to sort of limit the finished goods inventory, or how will you handle that situation if it happens? 
Scott Culbreth: Yes. There's a lot of scenarios in that space that are being considered. Things like should we go ahead and pass over the product specifically to the builder and they can take on warehousing and store it. I think you've seen some reports over the last couple of weeks and the number of builders have intimated they're going to do that in a couple of categories. So that's something we're considering. We're hopeful that we can just improve the order processing management side of the house and ensure that we're building the cabinet that can go in a home that's ready for install and closing and then overall reduce the inventory we've got on hand and better match the builders capacity. If we continue to have challenges we're going to have to explore alternative ways because we don't want to continue to carry that inventory. 
Josh Chan: Okay. Cool. That’s right. Thanks for the color and thanks for the time.
Scott Culbreth: Yes. Thanks, Josh.
Operator: And ladies and gentlemen, as I do not see that there is anyone else waiting in the queue to ask a question. I'd like to turn the floor back over to Mr. Joachimczyk for closing remarks. 
Paul Joachimczyk: Since there are no additional questions this concludes our call. Thank you for taking the time to participate. 
Operator: Ladies and gentlemen with that we'll conclude today's conference call. We do thank you for joining today's presentation. You may now disconnect your lines. 